Operator: Ladies and gentlemen, thank you for standing by. And welcome to the Third Quarter 2013 Results Conference Call. At this time, all participants are in a listen-only-mode. Later we will conduct a question-and-answer session. Instructions will be given at that time. (Operator Instructions) As a reminder, this conference is being recorded. This conference call contains forward-looking statements within the meaning of Section 21E of the Securities Exchange Act of 1934, as amended, relating to the Partnership's future business expectations and predictions, and financial condition and results of operations. These forward-looking statements involve certain risks and uncertainties. The Partnership have listed some of the important factors that could cause actual results to differ materially from those discussed in such forward-looking statements, which are referred to as cautionary statements in its earnings press release, which can be viewed on the company's website. All subsequent written and oral forward-looking statements attributable to the Partnership or persons acting on its behalf are expressly qualified in their entirety by such cautionary statements. At this time, I would now like to turn the conference over to our host, Mr. Davin D'Ambrosio. Please go ahead.
Davin D'Ambrosio: Welcome to Suburban’s fiscal 2013 third quarter earnings call. I’m Davin D'Ambrosio, Vice President and Treasurer at Suburban. With me this morning is Mike Dunn, President and Chief Executive Officer; and Mike Stivala, our Chief Financial Officer. On today’s call we will review our third quarter financial results, along with our current outlook for the business, including an update on the status of our integration efforts with regards to the Inergy Propane acquisition that was completed on August 1, 2012. As usual, once we've concluded our prepared remarks, we will open up the session to questions. However, before getting started, I would like to reemphasize what the operator has just explained about forward-looking statements. Additional information about factors that could cause actual results to differ materially from those discussed in forward-looking statements is contained in the Partnership's SEC filings, including its Form 10-K for the fiscal year ended September 29, 2012, and its Form 10-Q for the period ended June 29, 2013, which will be filed by the end of business today. Copies of these filings may be obtained by contacting the Partnership or the SEC. Certain non-GAAP measures will be discussed on this call. We have provided a description of those measures, as well as a discussion of why we believe this information to be useful in our Form 8-K, which was furnished to the SEC this morning. The Form 8-K can be accessed through a link on our website at www.suburbanpropane.com. At this point, I'd like to get started by turn in the call over to Mike Dunn for some opening remarks. Mike?
Mike Dunn: As reported this morning we are very pleased by our overall results for the quarter, which was our third full quarter of operations since the acquisition of Inergy's retail propane business on August 1st, 2012. Our results benefited from both the colder than normal weather pattern that began toward the end of the second quarter and lasted through April, as well as improvements in Suburban's legacy operations. During the quarter our employees at every level have done hard work, bringing the combined businesses together, while at the same time continuing to focus on our ongoing customer satisfaction and growth initiatives. Our integration activities are progressing very nicely and we have accomplished a lot in a relatively short period of time. Additionally, in May we took proactive steps to continue to strengthen our balance sheet with the issuance of 3.1 million common units for net proceeds of $143.4 million, which were used to repay $133.4 million of outstanding 738 senior notes due 2021. In a moment I will comment on our outlook for the remainder of this fiscal year along with providing some color on our integration efforts. However, at this point I would like to turn the call over to Mike Stivala to discuss our third quarter results in more detail. Mike?
Mike Stivala: August 1st marked the one year anniversary of our purchase of Inergy Propane; therefore the majority of the year-over-year variances for the third quarter were attributable for the acquisition, as well as to a lesser extent improvements in the Suburban legacy operations resulting from colder average temperatures, lower wholesale propane costs and continued expense savings through efficiencies. In order to provide a more meaningful comparison of year-over-year operating performance for certain key metrics I will as I did last two quarters provide a comparison of the actual fiscal 2013 third quarter results versus the prior year third quarter on a pro forma combined basis as if the Inergy Propane acquisition had occurred in the beginning of fiscal 2012. Furthermore, to be consistent with previous reporting, I am excluding the impact of unrealized non-cash mark-to-market adjustments on derivative instruments used in risk management activities under FAS 133 accounting. This resulted in a de minimis unrealized loss in the third quarter of this year compared to an unrealized gain of $8.2 million in the prior year third quarter. Additionally, net income and EBITDA for the for the fiscal 2013 third quarter included a $6 million charge related to our voluntary withdrawal from multi-employer pension plans covering certain employees acquired in the Inergy Propane acquisition as well as $2.2 million in expenses relating to our ongoing integration efforts. This compares with $5.9 million in acquisition related costs associated with the acquisition of Inergy Propane, which were included in the actual results in the prior year third quarter. Therefore adjusted EBITDA for our fiscal 2013 third quarter amounted to $19.2 million, which is an increase of approximately $10 million compared to the pro forma combined adjusted EBITDA for the prior year third quarter. Typically, due to the seasonality of our business, we reported net loss in our third quarter. With that being said our net loss for the third quarter of fiscal 2013 totaled $45.1 million or $0.77 per common unit compared to a reported net loss of $17.5 million or $0.49 per common unit in the prior year third quarter. Excluding the effects of the charges in both periods that I referenced earlier, net loss for the fiscal 2013 third quarter would have been $36.9 million or $0.63 per common unit. Compared to a pro forma combined net loss of $45.5 million or $0.81 per common unit in the prior year third quarter. Retail propane gallons sold in the third quarter of fiscal 2013 increased 43.1 million gallons to 92.1 million gallon, from 49 million gallons reported in the prior year third quarter. Again for comparative purposes propane volumes sold in the third quarter of fiscal 2013 were 4.2 million gallons or 4.8% higher than the prior year third quarter on a pro forma combined basis. Sales of fuel oil and other refine fuels increased 4 million gallons to 8.3 million gallons compared to 4.3 million gallons reported in the prior year third quarter compared to the pro forma combined refine fuels gallons in the prior year third quarter, the 8.3 million gallon sold this year were a 1.2 million gallons lower which difference was entirely attributable to lower gasoline and diesel volumes as our heating oil volumes were essentially flat. Volumes sold in both segments were favorably impacted by the colder-than-normal average temperatures which began towards the end of the second quarter of fiscal 2013 and lasted through April. In fact, our residential volumes accounted for approximately 75% of the overall increase in propane volume sold during the third quarter of this year compared to the prior year third quarter on a pro forma combined basis. For the quarter, average temperatures across our service territories were 4% colder-than-normal. In the commodity markets average posted prices for propane for the third quarter of fiscal 2013 decreased 6.7% compared to the prior year third quarter while average fuel oil posted prices remained essentially flat with the prior year. On the sequential basis, propane prices increased 5.4% compared to the average prices in the second quarter of fiscal 2013 and fuel oil prices decreased 5.1% compared to the second quarter. Total gross margins of $142.7 million for the third quarter of fiscal 2013 were $60.1 million or 73% higher than the actual prior year third quarter of $82.6 million resulting primarily from the addition of Inergy Propane as well as higher volumes on our legacy operations. Combined operating in G&A expenses of $131.8 million were $52.7 million higher than the reported amounts in the prior year third quarter primarily due the addition of the Inergy Propane operations. Offset to an extent by savings in our legacy Suburban operations and cost savings achieved through our initial integration efforts. For comparative purposes, combined operating and G&A expenses were nearly $10 million or 7% lower than the pro forma combined operating and G&A expenses for the prior year third quarter. As for bad debts, our overall expense as a percentage of revenues as well as our agent profile have remained relatively consistent with historical levels. Net interest expense of $24.4 million for the third quarter of fiscal 2013 was $17.9 million high than the prior year third quarter as a direct result of the additional debt issue to finance Inergy Propane acquisition. Total capital spending for the quarter was $8.3 million which included $2.5 million of maintenance capital. With the third quarter of fiscal 2013 behind us, our year-to-date adjusted EBITDA for the nine months of fiscal 2013 was $327.3 million that’s an increase of approximately a $102 million or 45% compared to the pro forma combined adjusted EBITDA for the comparable period in the prior year. Now turning to our balance sheet, as Mike mentioned in his opening remarks, we took steps to strengthen the balance sheet with the issuance of 3.1 million common units for net proceeds of $143.4 million which we use to repay a $133.4 million of aggregate principal amount of 7.375% senior notes due 2021. This redemption took place this past Friday August 2nd. Separately on August 6th we repaid an additional $23.9 million of our 7.375% senior notes due 2021 and a private transaction. Therefore, we have redeemed a total of $157.3 million of outstanding indebtness since the end of the third quarter. Upon completion of these redemptions, approximately 346 million of aggregate principal amount of the 2021 notes will remain outstanding and our leverage ratio post redemption would be around 3.6 times. We continue to fund all working capital requirements with cash on hand, and in fact have not accessed our bank revolver since April 2006. In fact before considering the impact of the redemptions, we ended the quarter with approximately $320 million of cash on hand, overall 150 million after considering the redemptions. In addition, we have availability of approximately $250.8 million under our revolving credit facility, thus providing more than ample liquidity to fund our operations as well as our ongoing integration efforts. With these latest steps, we have continued to execute on our financing strategy following the Inergy Propane acquisition to further strengthen our balance sheet and bring our metrics back in line with historical levels. With our leverage statistics strong cash position and access to liquidity we are well positioned to continue to fund the ongoing integration as well as to react to additional growth opportunities that made present themselves. With that I will turn it back to Mike.
Mike Dunn: As announced at our July 25th press release we're pleased to declare a quarterly distribution of 87.5 cents per common unit, which equates to an annualized rate of $3.50 per common unit. This quarterly distribution will be paid on August 13th to unit holders of record as of August 6th. As far as our integration efforts are concerned, we'll remain on schedule with our detailed plans to fully integrate into one common system platform, one common operating model and ultimately one company. Some key achievers since our last conference call we further refined our regional operating footprint and filled all key regional management positions within the new structure. We have defined the local operating footprint and have out management teams in place in substantially all of our local markets under the new structure. We have made substantial progress executing on our retail system conversion and blending plans, we have begun the rebranding process and we have begun to install some of the operating tools that we have historically used within Suburban platform to better manage our deliveries and customer pricing, just to name a few. As I said earlier we have accomplished a great deal on a relatively short period of time, however much work lies ahead of us. Our system conversion and blending activities will continue through the end of October 2013, at which time we will pause in order to maintain our operating focus on serving our customers throughout the upcoming heating season. We will resume our field integration and system conversion efforts next March. We remain on schedule and anticipate having the majority of a system conversion and physical blending activities completed by the fall of 2014. Once the system conversion efforts and physical blending activities are fully completed as we approved in the past, we will continue to refine our operating model and cost structure, in order to enhance our customer service experience and maximize the overall profitability of the combined enterprise. As we have stated before our targeted net synergies of $50 million within 3 year period with approximately 10 million to 15 million being realized by the end of this fiscal year, I am confident that we will continue to successfully execute on our detailed integration plans and do not foresee any region to believe we will not achieve our stated goals. We continue to provide meaningful communication to both our new customers and employees keeping them advised as the overall expectations during this period of change. As for the remainder of fiscal 2013, we look forward to building what our early successes and executing our integration plans. As we approach the upcoming heating season our dedicated employees stand ready to respond with the level of customer servicing comfort that our customer basis come to expect from us. In closing, I would like to acknowledge the ongoing efforts of all of our dedicated employees both in the field and in our home office in executing our integration plans while maintaining their focus on our everyday business activities and as always we appreciate your support and attention this morning. I would now like to call, open the call up for questions. 
Operator: (Operator Instructions). And we’ll go to line of Sharon Lui with Wells Fargo. Please go ahead. 
Sharon Lui - Wells Fargo Securities: With regards to the cost synergies, can you isolate or identify how much was realized during this past quarter? 
Mike Stivala: We realized year-to-date now a little over $10 million and I think as we said last quarter through the first half of the year we realized between five and seven. So, $3 million to $5 million in this quarter. 
Sharon Lui - Wells Fargo Securities: And I guess any commentary or customers feedback from the rebranding process so far? 
Mike Dunn :  We communicated with folks as once we actually when we did the acquisition so people who’s coming and the communications I think I sent three out under my name and as we blend locations, we’re sending one out now with our customer service manager signature basically continuing to advice people that they may not see quite yet the Suburban (label) truck, however, you may see this and so forth it’s sounds like this. The uniform issue, the truck issue, the tank issue is an addition. I think the customer base has certainly adjusted to the fact that the non-Suburban company that they were doing business with before August 1st is now Suburban Company. 
Sharon Lui - Wells Fargo Securities: And I guess, will the focus be on the integration process until it fall or are you open to I guess looking at acquisitions? 
Mike Dunn: The reality here is its two separate functions, our people for years have been focused on what would we do, should we do acquisition of the size of Inergy. So, we didn’t do this thing on prepared. So, that process is a process. The acquisition process is another process and if an opportunity presented itself within our geography, we would certainly seriously look at it. 
Sharon Lui - Wells Fargo Securities: And the last question is this $6 million charge, is that reflects it in the OpEx number or the G&A number in your financials? 
Mike Dunn : That’s in the OpEx number, Sharon. 
Operator:  And next we’ll go to line of Darren Horowitz with Raymond James. Please go ahead. 
Darren Horowitz - Raymond James: Mike, quick question for you, and I appreciate the color on the synergies. But beyond that 10 million to 15 million of cost synergies that you hope to realize by the end of this fiscal year for the remaining 35 million to 40 million. Do you think that's going to be split relatively even over the next two years or is it going to more concentrated around one specific year?
Mike Dunn: Well I think next year you will probably see about the same as we achieved in the first year maybe a little bit more. But the real opportunity is going to be once we had one system that we can start looking at the information in the same form that we're used to, and we go back and really fine tune, that will probably occur I would say second half of next year and the first half of the following year, if that answers your question.
Darren Horowitz - Raymond James: So I guess that would point to that third year really being more lumpy in terms of what you are going to realize because from an integration perspective things should be a bit more seamless.
Mike Dunn: Correct.
Darren Horowitz - Raymond James: And then just kind of a big picture question for you with regard to wholesale propane cost, over the next six months or so obviously there is an underlying bid for propane because this dramatic LPG export trend and the spread between North West Europe and Gulf Coast propane prices and also just from a domestic perspective the propylene yield that propane gives (petchem) customers. So with those two things kind of working in concert it seems like propane prices at the wholesale level could be higher going into the winter season. And I am just wondering your thoughts and your ability to further expand retail margins it that's the case.
Mike Dunn: I don't necessarily think there is two answers to your question I think Darren. One is the fact that propane is more representative of the natural gas market place is a good thing versus the crude oil market place. Because I don't know what's going to happen to crude prices. I mean when you look at the supply of crude oil and the upcoming potential for production so forth and so on. It certainly should be trading north of $100. But putting that aside, over the course of the last 18 months or 2 years actually propane prices became a little bit more reflective of natural gas as propane as a derivative commodity came more from, was produced more from natural gas as oppose to crude oil. Now with all that said, I think propane prices will remain reasonably steady to slightly higher, based on the potential export activity. But I don't think, at least today I don't think you are going to see the sort of volatility that you could potentially or did see when propane was more linked to the crude oil.
Operator: (Operator Instructions). And I am showing no questions.
Mike Dunn: Terry I want to thank you and everyone on the call, I want to again thank you for your support and enjoy the rest of your summer, thank you Terry.